Operator: Good morning, my name is Kalia, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lancaster Colony Fiscal Year Fourth Quarter 2012 Results Conference Call. [Operator Instructions] I will now like to turn the call over to our host, Earle Brown. You may begin your conference. 
Earle Brown: Good morning. And let me also say thank you for joining us today for the Lancaster Colony fiscal year and fourth quarter 2012 conference call. Now please bear with me while we take care of a few details.
 As with other presentations of this type, today's discussion by Jay Gerlach, Chairman and CEO; and John Boylan, Vice President, Treasurer and CFO, will contain forward-looking statements of what may happen in the future, including statements relating to Lancaster Colony's sales prospects, growth rates, expected future levels of profitability, as well as the extent of share repurchases and business acquisitions to be made by the Company.
 These forward-looking statements are based on numerous assumptions and are subject to uncertainties and risks. Accordingly, investors are cautioned not to place undue reliance on such statements.
 Factors that might cause Lancaster's results to differ materially from forward-looking statements include, but are not limited to: risks relating to the economy, competitive challenges, changes in raw materials costs, the success of new product introductions, the effect of any restructurings, and other factors as are discussed from time-to-time in more detail in the Company's filings with the SEC, including Lancaster Colony's report on Form 10-K.
 Please note that the cautionary statements contained in the Safe Harbor paragraph of today's news release also apply to this conference call.
 Now here is Jay Gerlach. Jay? 
John Gerlach: Good morning, and thank you for joining us today. We are pleased to report a good fourth quarter finish to the year in spite of seeing most of our Easter business fall in the third quarter. Earnings per share reached $0.95 versus a $1.07 last year which included $0.33 of CDSOA funds. Sales for the quarter were up 7%; I'll comment in some of the items impacting our results shortly. For the full fiscal year sales grew almost 4% and EPS reached $3.51 versus last year’s $3.84. CDSOA remittances were $0.06 and $0.34 for fiscal 2012 and 2011 respectively. Capital expenditures for the year totaled $16.3 million and we were able to return $38.5 million to shareholders in dividends and $8.3 million in the form of share repurchases.
 Turning to segment performance. Specialty Foods had a very good quarter with sales up almost 8% and operating margins reaching 16.9%. Good food service channel demand was helped by good sell-through to some of our key chain account customers and the benefit of new programs with existing customers. In the retail channel, our new items including New York Garlic Knots, Sister Schubert's Pretzel Rolls and Mini Baguettes, Marzetti Simply Dressed and our Olive Garden licensed dressing program helped more than offset the negative impact of the Easter timing shift.
 Sales mix for the quarter was just over 51% retail, about the same as last year. Also impacting net sales for the segment was improved pricing of about $6 million which exceeded the impact of input cost increases of about $4 million. Sales were also affected by a lower level of consumer and trade spending that was partly due to the Easter shift and the planned timing and extent of certain other programs. The quarter’s results further benefitted from lower marketing cost and the recovery of approximately $1 million recall related costs related to a fiscal 2010 incident.
 For the full year, segment sales were up over 7% with about 4% from pricing and the balance volume mix. Sales mix for the full year was about 51.5% retail, down slightly from just over 52% a year ago. Our full year pricing actions did not quite offset input cost increases of about $45 million with higher diesel cost during the year being another challenge to results. New retail products were good contributors to our growth during the year, as were new product and programs that our chain account food service customers.
 For the full year, our overall promotional spend was roughly flat with the prior year. Key category performance in the 12 weeks ended July 8 shows the following: refrigerated dressings, the category was up 2%, our Marzetti brand was down 3%. We maintained a #2 position in that category. The Crouton category was down about 1%. We were up just over 1%, maintaining our #1 share. Produce Dips, the category was down about 1% and again we were up about 1% in maintaining a #1 share position. 
 Frozen Garlic Bread, down about 1 for the category. Our brand up about 1%, again maintaining a number one share in the category. Frozen Dinner Rolls, category was down 17%. Our Sister Schubert brand down 12%, maintaining a #1 position in the category. The Easter timing had some impact on all categories but particularly Sister Schubert’s.
 Looking at our Candle and Glassware segment, we saw flat sales for the quarter and close to breakeven operating income versus a small loss last year. Low 6 figure wax cost savings and a bit better sales mix helped the quarter. This segment for the year saw sales decline almost 15% reflecting reduced seasonal sales of candles in the loss of some other or lower margin business. Lower capacity utilization and higher wax costs of about $2 million helped push operating margins down to 1.5% in this segment. Let me now ask John to make a few comments. 
John Boylan: Thank you, Jay, and good morning. I’ll cover with several matters this morning regarding our June 30 balance sheet in fiscal 2012 cash flows. We can start by taking a look at several of our major yearend balance sheet components. First we saw accounts receivable total over $73 million at June 30, a 15% or nearly like $10 million increase above the year ago level. Our improved sales in the quarter certainly contributed to this increase. We’re pleased that our account recoverable ageing have remained in recently good shape.
 Turning to another significant component of our working capital inventories, we saw a June 30 total of nearly a $110 billion slightly below the year ago level of $112 million. Somewhat similarly, our net property balance declined about $1 million between years as capital expenditures in fiscal 2012 totaled a relatively modest $16,347,000. As we anticipate likely adding some Crouton manufacturing capacity by next spring, fiscal 2013 capital expenditures may increase a bit and range between $20 million and $25 million.
 Turing to the other side of the balance sheet, shareholders equity grew these past years over $564 million at June 30. We’ve obviously retained considerable flexibility on our capital structure to support future growth as we ended the fiscal year with over a $191 million in cash and equivalents and no debt.
 Turning to this year’s cash flows. Cash flows from operating activities totaled $122,447,000, which compares to a $147,454,000 for the prior year. This decline was influenced by this year’s lower net income as well the higher receivables, I mentioned earlier. And arriving at this year’s cash provided from operations, the most prominent non-cash add back remained depreciation and amortization, which totaled $20,266,000 compared to last year’s $18,940,000. As Jay alluded to total annual cash for the distributions to shareholders were $38,464,000 for the payment of dividends and $8,315,000 for share re-purchases.
 Thanks again for your participation with us this morning and I will now turn the call back over to Jay for his concluding comments. 
John Gerlach: Thank you, John. While we are beginning fiscal ’13 somewhat optimistic, our outlook is tempered by a still stressed consumer whose buying practices are unpredictable. We do have new product launches scheduled during the year, including Sister Schubert’s Sweet Hawaiian Rolls and Mini Loaves being shown to customers this month.
 We have more introductions planned for later this fall. New products and programs should also impact our food service channel sales. We do intend to increase moderately our marketing and promotional spend this year to continue to support our brands, and if necessary, counter competitive promotional activity. We have been pleased with some recent additional gains and distributions in the West with our Simply Dressed line. We have also seen further gains for our New York brand of Frozen Garlic Breads in Western markets as well.
 In our recent planning for the year ahead, we anticipated somewhat lower ingredient cost. While we still expect some modest overall savings, the drought will no doubt have an impact on our cost over time, possibly resulting in somewhat unfavorable comparisons as the year progresses. We are already seeing various signs of pressures on many key input costs including soya bean oil, dairy related commodities, flour and eggs. While we have no specific retail pricing plans at this time, we are closely monitoring cost changes and market conditions. Further pricing on an already stressed consumer is not something we’re anxious to do. We do expect a bit higher capital spending this year, as John mentioned to add Crouton capacity to support its growth and bring us some improved efficiencies.
 Other projects will largely be additional packaging capability and cost reduction initiatives. We continue to search for good fitting branded food acquisition opportunities that could add to our organic growth. We would view the current deal market as somewhat slow at least for businesses that we see as being a good fit with our operations.
 Share repurchases remain on our radar with about 1.5 million shares authorized, although none repurchased since the first quarter of fiscal 2012. We look forward to reaching our 50th year of annual cash dividend increases this year, as we likely will consider a change in our November board and annual meeting. With that, Kalia, we’re ready to take questions. 
Operator: [Operator Instructions] Your first question comes from the line of Alton Stump of Longbow Research. 
Philip Terpolilli: This is actually Phil Terpolilli on behalf of Alton. Just a couple of questions. First, just with marketing expenses, I know the second half of the year there were some timing issues this year. Going forward first quarter of next year, do you expect kind of more of normalized run rate or is there some other things we should be thinking about? 
John Gerlach: No, I do think though we expect it to be normalized certainly as we’ve begun this year and probably throughout the year. 
Philip Terpolilli: Okay, that’s helpful. And just with the top line we noticed some weakness in the Marzetti category, and then I don’t know if Sister Schubert’s, if you had that July price increase, any commentary on those 2 categories? 
John Gerlach: Yes, I think on the Marzetti and the things, perhaps a little bit of impact on the reduced marketing spend but also maybe a little bit more competitive activity in that category. Sister Schubert’s was, I think, pretty much as expected given the Easter shift. 
Philip Terpolilli: Okay that’s helpful and then, just last thing on commodities. We’ve noticed kind of soya bean oil maybe definitely moving up, as I think you have mentioned in your prepared remarks, so maybe not as much as some of the other key commodities. Any reason for that that we should be aware of? 
John Boylan: No, I couldn’t tell a specific reason for the differences other than, obviously, corn has been the one that’s most materially impacted by the drought and soy beans to a much lesser extent, but certainly I think a lot of the commodities tend to fall in line to some degree when you get a lead like corn moving like it is. 
Operator: Your next question comes from the line of Chuck Cerankosky of Northcoast Research. 
Charles Cerankosky: If we’re looking at the fourth quarter, can you talk a little bit about the volume breakdown between -- within Specialty Foods between retail and the food service channel? It sounds like volume was up little in food service, but I wonder if you could give us a little more detail? 
John Gerlach: Yes, that’s right Chuck. And I think we can’t really get to customer specific there, but I think the benefit of both, some new programs we had going on. But in general, I think at least our mix of customers seem to have a pretty good period there from a traffic account and volume standpoint. 
Charles Cerankosky: What I was getting at, Jay, was where we looking at something like 3% volume growth in food service and down 1 in retail? Is that directionally right or could you give us the numbers? 
John Boylan: Well, Chuck, this is John. We did see our retail mix between quarters roughly flat with the year ago. Part of that was driven with lower trade promotional cost that we also saw a lot of volume growth on the retail side, not as strong as on food service. 
Charles Cerankosky: Any way to square that with the consumer being under stressed or is it just the mix of customers and the change you are dealing with on the restaurant side versus food retail? 
John Gerlach: Yes Chuck. I think it is probably is as much driven by the customer mix we are dealing with. 
Charles Cerankosky: Okay. Now looking at fiscal ’13, what do you have in mind regarding trade and consumer promotions? You cut back or held them under control in this past fiscal year but now you have got, I guess, some need to get the volumes going on the retail food side, yet you've got some food inflation -- cost inflation pressures. 
John Gerlach: We are going into the year I think planning for probably pretty similar for a full year comparison trading consumer spend with maybe the caveat that we will adjust perhaps on the one hand, if we see more competitive activity we feel we have to react to. On the other hand, if we see more significant input cost increases as the year goes on, we might adjust a little bit the other way to try to account for that some. We do also anticipate a little bit greater marketing spending, or more particularly advertising spend behind our key brands as we go into the year as well. 
Charles Cerankosky: Now hearing that answer, I am wondering if this means another year where if you see cost inflation, you don’t try to offset it with consumer promotions. 
John Gerlach: You mean, if we see cost inflation we might adjust downward consumer or trade promotions? 
Charles Cerankosky: No, I actually tried to blunt it a little with a little more spending on consumer promotions, especially. 
John Gerlach: Well, I mean, I guess you potentially could do that if you jump ahead and think we are going to actually react with pricing to cost increases which we would likely would if the cost increases are significant enough. But at this point, we don’t have any pricing planned during the year. 
Operator: Your next question comes from the line of Mitch Pinheiro of Janney Capital Market. 
Mitchell Pinheiro: So where do you stand in terms of your input cost coverage at this point? 
John Gerlach: Well, the 2 primary things we buy forward on as you know, Mitch, is soybean oil and flour. In both cases, we have probably got pretty reasonable coverage into if not almost through the March quarter. So we would have much more exposures as we get towards the end of the year. 
Mitchell Pinheiro: Okay. So given the recent spike, are you just sort of playing it a little cautious in terms of coverage beyond March and seeing where things go? Is that sort of the plan right now? 
John Gerlach: Well, as you might recall, particular with soybean oil, our biggest ingredient -- we are adding coverage routinely and kind of ladder that coverage out 12 months with declining levels of coverage each month as we go out. So we are not varying from that plan at the present -- at the present time. So we would be adding a little bit of coverage looking out into fourth quarter months at current cost. 
Mitchell Pinheiro: Okay. When it comes to your -- obviously, you said earlier that that given the state of the consumer, obviously, you would be somewhat reluctant to raise prices unless absolutely necessary. Where are you seeing within your product category the most elasticity? 
John Gerlach: I can’t tell you we are seeing in any of our particular categories having a strong variance from that standpoint. On the other hand, we do see a little bit more competitive promotional activity in the Crouton and frozen garlic bread categories. 
Mitchell Pinheiro: Does -- has there been any change from let’s say some of your premium categories, particularly, let’s say, your refrigerated dressings? Are you seeing any shift to shelf stable, are you seeing anything like that? 
John Gerlach: Not that we have identified, Mitch, no. 
Mitchell Pinheiro: Okay. When you look at some of the growth in this past quarter, does -- how much -- what were the impact of new products? Was it the primary driver of the growth? 
John Gerlach: On the retail side of the business, yes, it was. 
Mitchell Pinheiro: It seems like you have a pretty full pipeline. I mean, a lot of the new products that you mentioned are still early days. Is that fair? 
John Gerlach: Yes, I think that is fair. 
Mitchell Pinheiro: Was there any cost associated in sort of with your new product initiatives? I mean, whether it’s slotting or higher promotional activity in the early days of the launches that may have depressed margins in the quarter? 
John Gerlach: Well, not in the quarter. Actually, probably a little benefit from that and there are a number of those products that’s been used earlier in the year, so the slotting actually was before the fourth quarter, which again, as we enter in to the first quarter, I mentioned a couple of new Sister Schubert items that we are bringing in the market. We will have some other things later on in the fall as well. So slotting will be back in the mix of our trade spend as we begin the new year more so than we saw in the fourth quarter. 
Mitchell Pinheiro: With these new products, are you gaining net shelf space or are you taking, let’s just say, slower moving products, some SKUs off and adding the new? How does that work? 
John Gerlach: Well, there is some of both. Yes, I would think, overall, we are gaining some net shelf space. 
Mitchell Pinheiro: Okay. On the food service side, in the past, there is a lag because of the contract length or what have you, there is a lag in your ability to implement pricing. Has anything changed? Have you changed any of your methods or contracts to limit the tail or limit the -- improve your ability to price more in line with what you are seeing on input cost? 
John Gerlach: No, nothing has changed there Mitch, and that lag in that channel is relatively short. For the most part, it might be 90 days, probably range is 90 to 180 days, so there is not really a lot of lag there. 
Mitchell Pinheiro: Okay. And then, last question is, you talked about acquisition sort of being slow in the areas that most interests you. I guess, would you consider broadening your potential product categories? Would you look outside of your current core competencies in acquisitions to start to use your cash and balance sheet? 
John Gerlach: Well, I think in the sense of looking at different categories, sure, we would look at that. Right now, though we do remain targeted on branded retail product lines that are in category leading positions. But they wouldn’t have to necessarily be, say, in the produce department or in the frozen bread case. 
Mitchell Pinheiro: Any reason for like just the lack of enticing ideas or is it targeted companies are just not for sale, either because pricing is not strong enough, or...? Is there any color around why things aren’t as robust on the acquisition pipeline as maybe you would expect? 
John Gerlach: Mitch, I don’t know that I have got a great answer there, but I think for people that do have branded food businesses, they may feel that now may not be the right time to think about doing something because maybe they don’t have an alternative to reinvest those proceeds that they find more attractive than the business they have today. 
Mitchell Pinheiro: Okay. And then I guess one last question. You talked about cost savings. What type of cost savings do you see happening in fiscal ’13, what type of projects? 
John Gerlach: Well, these would be kind of the more routine things we do at the plant floor level to try to automate things in production lines that let us operate more efficiently, get higher speed, maybe less loss of product in the process somehow, those kind of things. 
Operator: Your next question comes from the line of Michael Lavery of Sidoti & Company. 
Michael Lavery: I really just had one left, kind of following up on Mitch’s acquisition question. Just given the growth of natural organic space we are seeing across the industry, is that an area that you guys would consider? I mean, assuming it’s branded retail, on a category leading position of course, or does it just not make sense from maybe an ingredient sourcing position? 
John Gerlach: No, we would consider that. It isn't a -- the only focus we have, but yes, we would absolutely consider organic. 
Michael Lavery: Okay. I mean, is that something in terms of whatever you have seen come through? I guess, I am just trying to -- if it’s not really that you wouldn’t turn it away, but it’s not really a key focus of yours? I am just speaking to the strong growth. 
John Gerlach: It’s not a key focus in the sense if that’s all we are looking for. But yes, if we see a branded opportunity that’s got a good position as a category and it’s organic, absolutely we would be interested. 
Operator: Your next question comes from the line of Jason Rogers of Great Lakes Review. 
Jason Rogers: Just following up with the questions on the acquisitions. Given the slower deal flow and cash continuing to build nicely here, just want to get your thoughts on potentially being more aggressive with the share repurchase? 
John Gerlach: Jason, we continue to evaluate that very regularly and just look at overall market conditions and what are other alternative uses for cash may be, which again, we would put a top priority on acquisition growth. So we do evaluate that. We wouldn’t want to suggest to you a specific criteria parameter that we would be more aggressive there. We haven’t established one of those, but we do routinely talk about that. 
Jason Rogers: Okay. And sorry, John, would you mind repeating the cash flow from operations for the year or quarter or whichever you gave out? 
John Boylan: Sure, Jason. And this is cash flows from operating activities for the full year $122,447,000. 
Operator: [Operator Instructions] Your next question comes from the line of Chuck Cerankosky of Northcoast Research. 
Charles Cerankosky: Looking at the retail landscape out there, you touched on this a little bit, John, but I just thought I would ask specifically. How do you feel about your receivables in light of some of the weaker retailers that have become more apparent in the last couple of months? 
John Boylan: Well, I think, Chuck, that we do continue to watch the evolution of all our major customers. But at this point we don’t anticipate a concern, at least in the near term, and certainly the agings haven’t shown any additional signs of stress. So I think at the moment, we are pretty pleased with what we are seeing and hopeful we don’t see challenges down the road. 
Operator: And there are no further questions at this time. 
John Gerlach: Well, we do appreciate you joining us today. We look forward to talking to you late October with our first quarter results. 
Operator: Thank you, ladies and gentlemen, that does conclude today’s conference call. You may now disconnect.